Operator: Good day, ladies and gentlemen. Welcome to Vista Gold’s Third Quarter Financial Results and Corporate Update Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we’ll conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded today, Tuesday, November 4, 2014. It is now my pleasure to introduce Vista's President and CEO, and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest.
Fred Earnest: Thank you, Nick. Good afternoon, ladies and gentlemen. Thank you for joining Vista Gold Corp's 2014 third quarter financial results and corporate update conference call. I’m pleased to be joined on this call by Jack Engele, our Senior Vice President and Chief Financial Officer, and Connie Martinez, our Director of Investor Relations. Both of them are joining this call from our corporate office in Denver. In the third quarter, we announced the successful completion of the Environmental Impact Statement or EIS review process for the Mount Todd gold project in the northern territory of Australia. This is a significant milestone and culminates over three years of hard work and expenditures. As a result of this accomplishment, the remaining permitting obligations are well defined and at the appropriate times attainable within reasonable timeframes. We are pleased that the northern territory government has committed funding for the first your of what is expected to be a multiple year program to effectively treat and reduce the volume of water presently stored at the Mount Todd mine site. Last week, the Invecture Group announced that the Los Cardones gold project in Baja California Sur, Mexico has been suspended because the conditions for this development are not favorable at this time. Our cost cutting programs continue to produce better than expected results with year-to-date expenditures significantly below those costs for the same period for the previous year. The Mount Todd gold project continues to be our key focus. Our recent evaluation of gold projects in Australia confirms that Vista controls the third largest total of proven and probable reserves in Australia behind Newcrest and Newmont and just ahead of Barrick. Well there is no debate that this is a very challenging market. We continue to believe that there is considerable value in the Mount Todd gold project and in an improved market and we’re continuing to work as efficiently as possible to position this project as a shovel ready project. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed or implied by such statements. Please refer to our Form 10-K for a detailed discussion of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. Many of these risks were also summarized in the 10-Q. I’ll now turn the time over to Jack Engele. Following his discussion of the financial results, I’ll discuss our progress of the Mount Todd Gold project.
Jack Engele: Thank you, Fred. Good afternoon, everyone. I’ll start with our statement of income and loss for September 30, 2014. For the three months ended September 30, 2014, we reported a net loss of $4.9 million or $0.06 a share. The main components of this loss include net operating expenses of $1.1 million and an unrealized mark-to-market loss of $3.8 million on our Midas shares. Our Q3 operating expenses included about $700,000 of expenses mainly associated with Mount Todd site water management and environmental monitoring. This is net of $200,000 noncash stock-based compensation recovery related to the expiry of restricted stock units or RSUs that [ph] [did not invest]. Our Q3 operating expenses also included about $100,000 for corporate G&A costs. These costs are net of a $700,000 noncash stock-based compensation recovery related to the expiry of the RSUs that [ph] [didn’t invest]. In general, we’re very happy with the success of our cost reduction programs. The best illustration of that success is in our cash flow statement. We’ve used $5.5 million in cash for operations this year-to-date. That’s a 75% reduction from the $21.5 million we used for the same period last year. Turning to our balance sheet, our cash and cash equivalents as of September 30th, totaled about $5.3 million. This cash balance is better than we had expected mainly as a result of the successful cost reductions. Our working capital as of September 30, 2014 totaled about $11.1 million. The company continues to be debt free. Looking ahead, as Fred mentioned, the government of the Northern Territory has committed to funding the first year of a multi-year program with the objective of reducing the inventory water at the Mount Todd site through a combination of water remediation and subsequent discharges of remediated water. The NT's participation provides us with better clarity and predictability in terms of the programs associated, in terms of the programs and associated costs at Mount Todd for which we’re responsible, and mitigates the risk of Vista incurring material unexpected environmental expenditures through 2015. Fred will have more to say on this subject in a few minutes. We expect our cash burn rate at Mount Todd to average about $850,000 to $950,000 per quarter, for the next two quarters, which will be slightly higher than our current burn rate because of the wet season effects. We expect that our burn rate will be reduced by perhaps as much as $150,000 per quarter later in 2015. We have no discretionary programs in these numbers. The timing and scope of any discretionary program will be governed by the availability of funding for such a program. We are adjusting our corporate G&A burn rate guidance through 2015, downward slightly to average $750,000 to $800,000 per quarter. Previous guidance was $800,000 to $900,000 per quarter. With our cash cost well under control, we believe our current cash position will finance us into the second quarter of 2015 and we believe we’ve access to non-dilutive funding that could finance the Company well into 2016. We expect to receive the payment of $500,000 in January from Cangold Limited, the company that has the option to acquire our Guadalupe de los Reyes Project. Our Colomac mill equipment remains for sale through A.M. King Industries. We’d had some interest, but no satisfactory offers as yet. We believe that our asking price is attractive in the context of this market and we continue to be optimistic about the sale of this equipment for a fair price. We still hold about 15.8 million shares of Midas Gold. This is the major component of our working capital and in the event that other non-dilutive sources of cash do not materialize, we’ll consider reducing those positions further after the current lockup expires in February 2015. The final $6 million payment for the Los Cardones project is due from Invecture in January of 2015. As Fred indicated, Invecture recently announced that the Los Cardones project has been suspended because the conditions for its development are not favorable at this time. We believe this announcement introduce a substantial doubt that this $6 million payment will be made by January 30, 2015. Consequently, our financing plans through 2015 do not currently include future proceeds from Invecture for the Los Cardones project. That concludes my comments. Fred will now give you an update on recent events at Mount Todd.
Fred Earnest: Thank you, Jack. First, let me add a few comments with respect to the Invecture announcement. I’m sure that many factors have contributed to Invectures’ decision including the gold price and pending state elections among others. Jack has informed you that out of prudence we have not included proceeds from Invecture in our financing plans for 2015. As you’re all aware, we granted Invecture an extension until January 31, 2015, and I expect that we will learn more about their plans as that date approaches. In the meantime, we are evaluating several different alternative strategic options. Honestly there is very little more that can be said at this time on the matter. Turning to Mount Todd, I’m pleased to report that Phase I of a multi-year program aimed at reducing the total volume of water stored at Mount Todd has been initiated with funding committed by the Northern Territory Government. The present phase of the program is expected to continue through the end of the coming wet season which is more or less the end of March of 2015 and includes the resources for planning the next phase of the program. With the successful completion of the EIS review approval process we have turned our attention to the remaining permits. Work on the Mine Management Plan which is the definitive mine operating permit is being advanced to the extent possible of using the internal resources of our team. We plan to complete the required studies and file for the authorization required under the Environmental Protection and Biodiversity Conservation Act in the second quarter of next year. These are the two significant remaining permits for the project. As the first step towards being able to convert the Quigley's resource to reserves a modest metallurgical testing program has been initiated to evaluate the compatibility of the material from the Quigley’s deposit to the flow-sheet proposed for the Mount Todd project. The Quigley’s deposit is proximal to Mount Todd and offers potential to increase the head grade of the project by 15% to 20% over the first several years of the project by supplementing the plan Mount Todd ore with higher grade material from the Quigley’s deposit. Of note, the Mount Todd project completed a significant safety milestone in June of this year marking two years without a loss time accident on the project. To conclude our prepared remarks, well this is a very challenging time in the market. I will repeat part of what I said at the conclusion of our last conference call. I am pleased with the milestone objectives that we have recently achieved. We believe that these are important stepping stones to the ultimate development of the Mount Todd project. We believe that Vista continues to provide its shareholders with exceptional leverage to improving gold prices. We are taking the appropriate steps in this market to position the Mount Todd gold project; Australia’s largest know undeveloped gold resource for development at the right gold price. We remain focused on the effective use of financial resources and expect to continue to maintain a solid balance sheet without further dilution to the Vista shareholder. We believe that Vista is a compelling investment opportunity especially at current prices. This concludes our prepared remarks. We’ll now respond to any questions from the participants in this call.
Operator: (Operator Instructions) Our first question comes from the line of Adrian Day. Please go ahead.
Adrian Day - Adrian Day Asset Management: Good afternoon. I had two questions if I may. I appreciate your comment Fred that there’s not much more to be said about Los Cardones. Could I just ask is Invecture sort of open -- communicating openly with you would you say and giving you an idea of their plans openly. The second question was on Mount Todd if I may. Is it -- and I know there’s no definitive gold price, but is it a higher gold price that you would be looking for or is it a better sort of financing market that would really determine when Mount Todd could move ahead in terms of being developed that is.
Fred Earnest: Adrian, thanks for the questions. First of all with regards to the Los Cardones project and Invecture. Invecture has been forthright and candid in their communications with us. They have responded in a timely manner to all of our questions and inquiries, and we continue to maintain a very good working relationship. In particular I communicate regularly with the President of Invecture, and I expect that as they determine internally what their course of action will be in the coming weeks and months that we will be informed appropriately. With regards to the question regarding what are the key trigger points for making an investment of a development decision for Mount Todd, I would suggest Adrian, that it’s actually a combination of both item’s or both topics that you’ve suggested. Obviously in order to get to the point that we would feel comfortable recommending the development of the Mount Todd project we would want to see the gold price improve to a point where it met the internal rate of return criterion and ability to generate profit and value for our shareholders before we would consider even making that recommendation to the Board. Second of all, it will be very interesting to see at what point the market and investors in the market return and begin to demonstrate an interest in financing projects and while the gold price may improve to the point that we would be interested in developing Mount Todd certainly the availability of funding will be a consideration. In addition to that certainly will be the consideration of whether we have restored sufficient value to the Vista share price and Vista shareholder to be able to justify considering raising the money on our own to undertake the development of Mount Todd. It maybe that we enjoy a market where the gold prices improved, and that the markets have opened up and are beginning to finance projects and that value is not realized within Vista making it very difficult for us to go out and achieve the relative amount of financing that would be required in which case we would likely pursue some sort of a joint venture arrangement that would allow us to move the project forward without the dilution and the risk that would be associated there. I hope that answers your question, Adrian.
Adrian Day - Adrian Day Asset Management: No, it does. Thank you very much.
Operator: (Operator Instructions) There are no further questions at this time. Please continue.
Fred Earnest: As there are no further questions, I’ll take this opportunity to wrap up the conference call. I would just like to express our appreciation to our shareholders, many of whom are longstanding shareholders who have been very supportive and been with us for a long time. We appreciate your support. We appreciate the fact that you recognize the value that’s contained in the assets that Vista has and are supportive from the feedback that we get of our efforts to prepare the Mount Todd project, to be able to move that project forward as the gold price improves. To those who are new shareholders, we welcome you. We look forward to getting to know you, and we just want you to know that there’s a management team we believe that our interests are aligned with yours and we will continue to act in a manner that’s consistent with that belief. So, I’d just like to take this opportunity to thank everyone for your time this afternoon and as always if you have further questions, we would be happy to speak with you on a one-on-one basis. Thanks for your time.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line and have a great day.